Henrik Andersen: Good morning and welcome to this presentation of Vestas' Full Year for 2023. And before I go into the details, let me by start saying a huge and a heartfelt thank you to all of our stakeholders out there, shareholders for your support and patience, customers for your partnerships throughout the last years, the supply chain for the continued working so committed with the Vestas and the Vestas team around, and last but not least, our passionate colleagues across the world. Without you, it would not have been possible to return back in black in this scope of 2023. And with that let me go quickly to the highlights of our full year. So, we returned to profitability and achieved the upper end of our guidance after the Q3 and Q4. EBIT margin ended at 1.5% that enables Vestas to pay our employee bonus for the first time in the last four years and for sure deserved and long awaited. We had a record order intake of 18.4 gigawatts for the year. The order intake driven by strong growth in both offshore and onshore and especially in the US. We ended revenue at €15.4 billion. The increase in revenue was driven by higher pricing as well as the continued growth in the service business and the performance across the businesses really well. We'll see later for the details. We also introduced the low-emission steel towers. We announced the partnership with ArcelorMittal. We'll talk more about it. It's the new tower offering, is a big step towards fully circular wind turbines and for customers and Vestas to achieve our emission targets especially in the Scope 3. We also see that the strategic path is unchanged. We remain and we sustain the strong commercial discipline and value over volume attitude to reach our long-term ambitions. We also today initiated our outlook for 2024. Revenue is expected in the range of €16 billion to €18 billion and EBIT margin is expected to be in the range of 4% to 6%. So, with that I will just go in. With also this, we will talk about the market the order sustainability first. Hence we'll take the financials. And then as normal practice on our full year, we will also give a strategy update of where we are, and of course, finishing with the full outlook in the end. So, with that how does our current business environment look like? Clearly, we drive the industry maturity and we also define the three core circles of what you look here below, which also drive a strong from all three circles the energy transition forward. If we start with the global environment first, I think we can say the global environment had improved and improved. So, Q4 was the best quarter for us to see across and also what we were asked to mitigate across the three circles. So, the global environment, the raw materials, and the transport costs either stabilized or even pointed towards lower levels. But for us the most important was, it was a stable exit of the year and it was a stable Q4. When we look at the geopolitical situation, yes, there are definitely a geopolitical volatility. Some will call it instability. But on the other hand, we also have to appreciate here that works also to some extent still as a driver for also the independent buildup of energy resources in some of the countries. We see inflation and interest rates still remaining high -- at a higher level and elevated level and of course, that challenge the industry and also build out to the price levels governments are aspiring to. When we look at the market environment, absolutely still a priority to grid investment. We also see that happening. We see more and more doing it in parallel to accelerate the permitting. So, that is actually a positive support for this. And when we look at the permitting, which, of course, I will be one of the ones that normally speaks highly for in these calls, we see the permitting is improving in markets like Germany and the UK. I can't praise the governments there enough for actually sitting themselves at the table and driving that accelerated part and we will talk more about -- and I'm sure somebody will have more questions to it, but it's really positive to see in a country like Germany that we are in excess of probably 5 gigawatt in onshore permitting annually. And therefore also -- it is just -- look at the good examples and then try to see that because overall the permits in auctions and grid are still challenging and are still probably the three factors we are normally having to work with our partners to also have governments moving faster. The best part is the project level. We've seen the supply chain disruption are improving. It's the least we have seen in now a number of years. And of course, we still appreciate there is a Red Sea. We still appreciate there are additional days from the Red Sea in the transport and logistics part. But so far, I think mitigating the extra 15 to 20 days is so far handled well by the supply chain and also by the partners we are working with. Otherwise yes, we are absolutely sleeves up. We continue to run the commercial discipline. We continue to run the execution discipline we took away from 2023. That was a very hard and committed year. But of course, that also gives us the strength to execute on the backlog for 2024, which still consists of some of the lower-margin projects we have from the years of both 2021 and 2022, but we are getting there. So with that, let me take you to the Power Solutions and Q4. It was a record quarter in terms of order intake and also the year. And of course, we saw the improved execution throughout the year. Most importantly, here is we saw that leading to an improved EBIT in the Power Solutions business from start of minus 10% in Q1 to plus 3% in Q4. 13% in four quarters doesn't come without a huge commitment from all stakeholders involved here, and I can't thank the stakeholders enough for doing that, because that is really the impressive part that is behind the positive EBIT here. When we then look at the order intake, we had 8.2 gigawatts in a single quarter. It's a record for Vestas. It's driven by strong onshore activity, especially in the US, but also a very positive momentum in EMEA. That also indicates that we have had just around 1.3 gigawatt of unannounced orders which comes from the normal market where we see unannounced orders that is Mainland Europe and particularly also in Germany, France and to some extent Poland. We also secured the largest onshore product order to date with our partner Pattern Energy. The giga project SunZia will use our new V163 4.5 megawatt turbine which has very good commercial traction in the US not only in this project. The total ASP decreased slightly to €1 million per megawatt hour in Q4, down from €1.09 megawatt hour in the prior quarter. The decrease was due to the scope mix with higher share of supply-only orders in the quarter, and please don't read more into it that we are now seeing that playing of course a role when you're in the US and we are ramping up the factories and some of the orders are close to the factories for that matter. So for business reasons then, Vestas now only discloses total ASP to avoid sort of exposing individual offshore project values. And this quarter is a good example of that because we had an order in Q4 of 780 megawatts. And of course, that goes into the average. But the assurance to you is ASP is positively supported in this quarter as well for Vestas in comparison on the onshore. You can see the breakdown to the right, where we see quarter-on-quarter comparison and also the ASP. So with that, I'll go to the service. So service Q4 and for the full year again, profitable backlog continues to grow. Stellar performance of it. We saw service reaching 152 gigawatt under service compared to 144 gigawatt a year ago and that's solidifying our position as the largest service business in the industry. The service order backlog continues to grow now more than €34 billion up from €30 billion in 2022. Of course, the inflation indexation has been and continues to be an important tool in protecting the profitability of the backlog. You'll be able to see the breakdown to the right of the €34 billion in the backlog of which a bit more than €29 billion stems from onshore. And then as very supportive is the average years of contract duration is still above 11 years. You'll see below the breakdown of regions. You'll also see that APAC is slowing down and actually went a bit backwards, which is part of this expiring portfolio that sometimes happen from time to time. Then I will go to development. Development again, the whole ethos for development throughout 2023 with the macroeconomic environment has been quality over volume as well. So I think a big thank you to the development team across Vestas. The highlights here was 135-megawatt of order intake that was generated in Q4. And then we also had other successful transactions where early development projects or portfolio were completed exit in U.S. and in Italy. Our strategic focus on quality projects in core markets led to several project exits and closures in Q4, which were offset by another 5 gigawatt of new secured pipeline mainly from Australia and in the U.S., which is really positive to see and, of course, have a huge interest from our close partners. At the end of 2023, Vestas' pipeline of development projects amounted to 30 gigawatt with Australia, the U.S., Spain and Italy being the largest market, and we really enjoy those conversations with our close partners in how to develop that for the coming years. You will see the breakdown to the right. The order intake generated, you will see the new secured pipeline, and you will see the total project pipeline of 30 gigawatts. You will also see the breakdown in the regions below. And again, here, really encouraged to see how well that is now integrated as part of our regional operating model. So, regions work closely together to develop this positively. And we come to sustainability for the full year. And I won't say, it's not a surprise to see that we speak highly about our reduced carbon footprint of the wind turbine towers. When we last month announced a partnership with ArcelorMittal, a long partner of Vestas, where we now will launch the low-emission steel offering for towers. The low-emission steel has 66% less CO2 emissions per kilo of steel than conventional steel. This equates to 10% to 30% reduction in emissions per turbine depending on project type, and also scope where lower percentages relates mostly to the offshore part. The low-emission steel is produced using 100% scrap steel melted in an electric arc furnace, powered entirely by wind energy of ArcelorMittal's steel mill in Europe. For customers, this offering can help achieve their own emission reduction targets and obtain the sustainability-linked financing, and again be a competitive advantage in auctions, where they are introduced more and more non-price criteria, which of course, we support strongly. The Baltic power project in Poland is the first offshore wind farm in the world to partly utilize this low-emission steel. And you will see, we absolutely enjoy that expansion of our parts in Poland. Then to the right, again, the CO2 avoided coming from our ships and produced turbines in the year was more or less unchanged to the year before that relates strongly to the capacity, we have gotten through, which of course with an increasing order intake should also come higher in the years to come. The CO2 emissions of our own Scope 1 and 2 is 109,000 tonnes versus 100,000 tonnes a year ago. That's an increase of 9%. Reflection bit here is still the service business and also the offshore. So, of course, that is something we are looking closely into, and we are introducing more and more, what I will call renewable car, which means electric cars in the service fleet, this will also mitigate part of that. When we look at the safety records for 202,3 we are improved. We are lower. We are free, but actually that's still too high. So, we are working closely with it. And as always here, safety first for having our colleagues to arrive and return safely with their families after the Vestas job. With that, really over to you Hans to present the numbers.
Hans Martin Smith: Thank you very much, Henrik. And here on the first page, as we normally do actually as we always do by the full year, we look at the full year numbers, where we can see that for the year revenue was up 6% year-on-year driven by turbines delivered at the higher prices that we have been talking to now for some years that have been pushed through by stable volumes, but also by growth in the service segment. . Gross margin stood at 8.3%, which is an increase from the 0.8% we had last year. The improvement also driven by increased revenue in both segments, but also by the higher pricing Power Solutions, and generally by the easing that we have seen of supply chain disruptions. That took us to an EBIT margin before special items at 1.5%, a significant improvement from the minus 8% we had last year, and also in the upper end of our outlook range. The increase was driven pretty much by the things I mentioned before, but of course also by the sale of our controls and converter business and by transactions in our development business that contributed as well. Finally, I'm also pleased to see that our return on capital employed turned positive to a level of 2.9%. Turning to the Q4 income statement. Of course, a lot of the same movements that I mentioned before. We had revenue that was largely unchanged around €4.8 billion compared to last year. Deliveries were actually lower and we also saw a decline in service revenue. We'll come back to that also later on. But that was offset by higher prices from the turbines that we actually delivered. We had a gross margin of 11% up from the minus 3% we had last year. And of course the Power Solutions segment was the main driver in this as we see that our commercial discipline is coming through. We had an EBIT margin before special items of 4% in the quarter, which of course is a substantial improvement compared to last year. Turning to the Power Solutions segment. We had revenue increasing by 2% year-on-year. We saw a decline in offshore revenue, but this was more than offset by higher onshore revenues in particular from South America and from Australia. I should also mention there actually was a 5% currency headwind in the quarter. Importantly, EBIT margin returned to positive territory with 3.3% in the quarter. The increase was primarily by the better project pricing and execution that we have been working very, very hard on in the last couple of years. As I said before, we also had contribution from our development business and we also do have lower warranty provisions compared to last year. I think it's important to of course note on the chart here that we are continuing to see gradual improvements in the profitability. But at the same time, I think, you pointed to it as well Henrik we are also seeing in 2024 that we have projects in the backlog where execution and say some of the cost issues that we've had where they remain. But that is something that of course we'll work our way through. Service revenue decreased 9% year-on-year in Q4 driven by lower transactional sales. We also had a tough comparison in Q4 2022. We also here had a currency headwind in this case of 6%. But at the same time, allow me to say that the underlying service activity continued to grow. That meant also that Service generated an EBIT of €172 million equivalent to a margin of 18.7%. If you compare to Q4 last year the main impact there is the employee bonus cost. That was triggered of course by the better profitability that we're seeing for Vestas as a whole. SG&A relatively stable, I would say at around 8% to 8.1% to be precise on a trailing basis. We had a slight improvement compared to last year mainly driven by lower R&D costs that are then partly offset by the higher admin cost that we had throughout the year. In net working capital, we saw a decrease during the fourth quarter. The decrease we had in inventory driven, of course, by project execution that we have been seeing as part of our typical seasonality that we observe, I would say as a fairly regular type of event investors. And we then also saw a high amount of down and milestone payments. And of course part of that was caused by the order intake in the fourth quarter so as you see record levels, and I guess it's not a big secret that we had a fairly strong order intake in the quarter. That takes us to the cash flow statement where we can see that the operating cash flow stood at €2 billion in the quarter an increase compared to last year. The increase was driven by of course better profitability, but also by improvements in the net working capital that we saw before. We had €1.7 billion of free cash flow in the quarter also an improvement compared to last year despite actually having higher investment levels, but as mentioned still seeing an improvement nonetheless. All-in-all for the full year the free cash flow amounted to a positive €245 million. And yes here you can see the aforementioned investments. They stood at €308 million in Q4, an increase compared to last year driven by the higher investments we are seeing in the 236 offshore manufacturing footprint, but also by new tools and equipment for the 4-megawatt platform. I'd also like to mention that the new offshore facility -- the nacelle manufacturing facility in Poland is planned to start operating in early 2025, while the recently announced blade facility is scheduled for 2026 operations. On the provisions and the LPF, we see that the LPF remain at an unsatisfactory level, but it has improved throughout 2023. I think, of course, that's an important thing to note. Warranty costs amounted to €268 million in the quarter, corresponding to 5.6% of revenue. And then for the whole of 2023, warranty costs ended up at 5.3% of revenue. It's still too high. It is still elevated, but it is an improvement compared to the 6.4% that we had last year actually. Here, we see the capital structure, and where I would like to highlight that the financial leverage has decreased as a natural function of the earnings recovery that we have been through. Net debt to EBITDA decreased to a multiplier of zero at the end of 2023, due to the strong cash flow in the quarter. We have also of course been getting a higher EBITDA on a trailing 12-month basis. But of course, when you are at these types of debt levels then the multiplier naturally ends around the levels we are at. And again, I am thinking this is a good strong performance we have seen on both sides of the equation. Investment, our investment grading of Baa2 from Moody's remained with a stable outlook. And I would also like to mention here, as the last thing that in November we issued a €500 million sustainability-linked bond maturing in 2031. And then I'd like to hand it back to you Henrik for an update on the strategy.
Henrik Andersen: Thank you so much, Hans. And as I said good to be here jointly present the positive numbers and also therefore completing that testament of back in black. If we then look at the market outlook, which is natural, you've seen a couple of these graphs before. We, of course, still see that the two things here that the wind electricity and its degree of the global energy consumption goes up. We are now at 1.5%, and some will positively then say there's 98.5% to go. I think positively also here is that, we see that we take a fair bit of the electrification. And of course, the electrification we see demonstrated every day when we look around us either on the roads, or in the homes we are living in, or potentially also in the industries we are running that, of course, will also increase the electricity consumption from the existing approximately 20%, where the others come from typically the fuels and fossils and other sources. To the right I think it's one of those graphs that's always nice to revert to. It's the cumulative graph of saying how do we actually reach, first of all, if we wanted to go net zero wind takes its proportionate part of it. And also, if we then look at the announced pledges, or in this also the stated policies. I think the big challenge in this one as the cumulative effect is, if we don't do the stated target we have in a year then actually the graph only becomes steeper, which pushes a little bit of a mountain that becomes steeper and steeper to climb. I think that's the conversation we have with governments. That's also the conversations, I know, our partners and customers have with governments. And jointly in that, triangle we need to do a better way of dealing with this chart. The say and do gap, unfortunately, still has never been larger than this and it doesn't solve it by increasing the targets. It solves it by increasing the actual permitting and the projects getting connected. So permitting needs to catch up, and also therefore the build-out of projects needs to catch up. Otherwise, both stated policies announced pledges and net zero is just something we are putting further and further out. I think here, good mention of Germany, France, UK and US right now in the onshore then we're also seeing offshore having a reset in certain markets, which positively. And I'm actually quite -- we are actually quite encouraged to see that, some of these resets have been managed within a quarter or six months like it's been done in the UK most recently. With that, I would just look to the market growth. You know, the four core areas of ours. So when we look at the onshore, when we look at the market expectations towards 2030 we now see a compounded average growth rate of 7% to 9% towards 2030. Of course, positively with activity expected driven by US and Europe, but also further increases in other related geographies. But here we see US, and the main drivers in EU 2027, especially Germany pulling their strength in showing this. When we look at the offshore market expectations towards 2030, remains 20% to 25% compounded average growth rate. We see expansion in Europe, especially we see new markets such as the US, South Korea and Japan, but there is and has been a stop and think in couple of the countries where the reset is ongoing. But I think we are all encouraged to see that actually some of the markets are pushing ahead, which we recently confirmed both in Europe, South Korea and Japan, and some of the states in the US. So, therefore, more to come. When you look at the service, the market expectations towards 2030, is a compounded average growth rate of 8% to 10%. It's a really solid part of our business. It's also a solid part of the generating nature of the assets. You have to maintain it, you have to service it, and therefore, you get a better annual energy production out of it. So, solid growth, driven by installed base and higher share of offshore for us. We see power price increases and electricity shortage generally to drive higher need for the output optimization. So, really in this part of the business, as you know stellar work done and well around 14,000 colleagues at Vestas. When we look at the development parts, up until 2025 we still see order intake generated increasing. We see the compounded average growth here of more than 10%. The foundation is in place. You know it's a relatively new business area for us, but we see that it's the ambition to outgrow the total onshore market in firm order intake generated, and also strategically converting that quality project pipeline in very, very close collaboration with our partners out there, which know us very well and we know very well what it takes to have a quality project for 30 years. When we then look at our strategic priorities and this is probably one of the most important bridges we have when we talk about Vestas, we are coming out of 2023 that has taken an enormous discipline and enormous commitment to get from where we started the year with minus 10% in the Power Solution to plus 3% in Q4, as Hans also illustrated in the previous slides. So that discipline, that commitment, that energy and not least also that team effort together with our customers is the most important thing to get further into 2024 and 2025. Therefore, we call it from back in black into the back on track. We know that the back on track gives us another eight quarters to exit 2025 where, of course, yes, we are targeting to move towards the 10% and therefore, double-digit EBIT that is also something that you will see again and again in our annual report. The six priorities besides the discipline and besides our values and all other things are focus on onshore, keep growing the onshore and restoring the profitability, absolutely incredibly important also continuing that commercial discipline you have seen. The quality, as Hans was mentioning, we have a quality, we have a track on it. We see the LPF improving, but we are definitely not where we want to be yet. On the offshore, it's the ramp-up offshore. We are the first year in 2025 where we will install our first projects with our new turbine but the ramp-up works to plan but there is a lot of work still to be done as you also saw from our announcement in Poland last week. When we see cash, cash is what pays for everything. So we work closely with cash. You can see it. We ended in a positive situation by 2023. And that, of course, the good momentum from that take it into 2024 and 2025. Efficiencies, when we talk about that that is initiatives that are across the Vestas more than 80 countries but it also means that we still look to the efficiency from operations, from digital, not least but also from how we run, for instance, back-offices and other stuff. So efficiencies across Vestas are hugely important. And that by the way also goes for how we develop the technology that are with our customers. And then last, talent, retain and attract the right talent and the capabilities. I think here a big thank you to the workforce and the team Vestas across. This is what it has taken. And we shouldn't forget, almost to the tune of today was the day where at least from our part, the world closed around for COVID lockdown, that's four years ago. Hard to believe feels like yesterday. And I think at least, our talent and our workforce, has been fighting through that. So really appreciate. But that's also what we will build on and that strength absolutely should become an employer of choice across the industry. That gives us the opportunity in the coming two years to build that foundation that then talks about sustainable growth, which also then builds on a company that has targets for that second part of this decade, which I'll come to in a second. So if we look at our long-term ambitions, they remain unchanged and they also in 2023 gave us so many positive evidence points to talk about in what we have set out to do and also how we are improving not only quarter-on-quarter but also year-on-year. The revenue is that we grow faster than the market and be a market leader revenue. On the EBIT side we want to be the best-in-class earnings and that also means at least a 10% EBIT margin double-digit leading the industry, and we are absolutely progressing towards that when we see it. And then the return on capital employed, 20% return over investment -- on investment over the cycle, I think two gives free. So I think here there is a partnership between the EBIT and the return on capital employed and we will see that the closer we get to the 10%. Free cash flow positive. Hence again here the team Vestas across fully dedicated to continue working with that. And I think here a very good understanding also from both our customers and not least our supply chain to understand the importance of that for the whole value chain. And then not least on the ESG side, carbon neutrality across our own operations and then a 45% Scope 3 reduction by 2030 and, of course, here was a very major step when we now start talking about the carbon reduced deal, which is by far the biggest contributor to the Scope 3 for Vestas and also for our customers and partners. With that, I will go towards the outlook for the year. So when we look at outlook for 2024, revenue is set for €16 billion to €18 billion. The EBIT margin before special items is set for 4% to 6%. Service as part of that is expected to generate EBIT of between €800 million to €880 million. And then last, the total investment is approximately €1.2 billion. And, of course, that includes acquisitions of subsidiaries joint ventures and associates and other financial investments as normal standard. All of this is based on the normal outlook of current foreign exchange rates. And besides that of what you're also listening to in this and you can read in the annual report. With that, I will hand over to the operator for the Q&A session.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Kristian Tornøe with SEB. Please go ahead.
Kristian Tornøe: Yes. Thank you. Two questions from me. First question in the Q3 report, you wrote that the 10% EBIT margin was realistic by 2025. In today's report, it says that it's realistic in the medium-term. I fully appreciate that it's not desirable to have a specific guidance for 2025. So if you could rather talk about the outlook for 2025 today compared to how you saw it in November would it actually be fair to say that the outlook for 2025 has improved considering your strong order intake especially in the US?
Henrik Andersen: Thank you, Kristian. And I think you and your question here implies exactly part of the answer to it. No, we don't want to end up here in guiding specifically for 2025 because that we do in February 2025. We are coming out of Q4 and especially also 2023, which actually gives us a lot of evidence of that the journey is on track. But for that to unfold and for us to be back in the double-digit EBIT there is still a lot of work to be done between February 2024 and end of December 2025. The target is the same. We think the building blocks are the same. We have seen a lot of commercial discipline. And we've also seen a lot of support from the customer side. So, the backlog is there. We need to have the execution of some of that in 2024, and then we still hold very firm attention to 2025. But you will also appreciate, when you look through it that we are still not at the level of LPF. We are still not at the level of the warranty provision and that will serve us at 10% because then we would have been further ahead. But that doesn't change, with that for team Vestas across this and especially for us, and the target and the aim is absolutely to get Vestas back into that double-digit EBIT part.
Q – Kristian Tornøe: Quite clear. Thank you. Then the second question, goes to the warranty provisions. So, we are seeing the LPF trending down. But as you point out, it's still too high. So I mean, what should we think about the absolute level of warranty provisions, when would you expect that to trend down? And what have you included in your guidance?
Hans Martin Smith: I think on that one question, we have been talking to that for a while and saying that we would like to hit something that's in the area around 3%. That's kind of the target that we're setting for ourselves. So in terms of what it is that we would like to achieve, that goal of course remains. It's also fair to say, of course, that this is not something you do overnight. It's important for us to see first of all, that the LPF is trending in the right direction. You can see that also of course, in the slides that we looked at only, a few minutes ago. So that's an important development. And secondly then, we are also seeing a decrease in the warranty provisions that we have done for this year compared to last year. So, I think you're seeing some progress. But I guess it's also fair to say, that over the course of the last couple of years, we have also been honestly admitting that this is not something that you just fix within a quarter. It takes time. And of course, it's one of the very important building blocks in our strategy that we need to see these – sorry, these warranty provisions come down from the elevated levels that we have seen in the last couple of years. And in that context, I think the level we hit this year, that being an improvement compared to last year, at least it is giving us some comfort that things are moving in the right direction.
Q – Kristian Tornøe: So if I may interpret, what you're saying, we should expect a lower warranty ratio in 2024 than 2023, but not necessarily the 3%?
Hans Martin Smith: I think it's -- I mean, you can make your own guesses. But of course, if you look at the development, we have seen over the course of the last few years, it's not that this just get fixed overnight. This is something that will take some time. And I don't think at our end that the 3% we ever said, that that is something we would achieve overnight in a year like this one.
Q – Kristian Tornøe: Understood. Thank you so much.
Operator: The next question comes from the line of Martin Wilkie with Citi. Please go ahead. 
Q – Martin Wilkie: Yes. Thank you. Good morning. It's Martin from Citi. Just a couple of questions, really sort of digging back into the midterm guidance. The first one is on offshore. You're now saying that by 2025 you should have €2 billion plus of revenues, which obviously makes sense given the order intake we've seen. Even if offshore is not yet at the same level of profitability as onshore at that level, is offshore still profitable at €2-or-so billion of revenue? I just need to know how we think about that as you move towards 2025. Thank you. 
Henrik Andersen: First of all Martin, you're absolutely, right. When we originally talked about the €3 billion that was end of 2020 when we embarked on the journey. And as orders has panned out and the market has panned out, we are sitting with something that is order intake at least indicating around the €2 billion plus for 2025. And we live fine with that. I think right now, as you can see in the offshore and we've spoken to, there is a bit of reset. And of course, the buildup and the ramp-up of offshore depends on that that we also get to a higher level of revenue than just the €2 billion. The €2 billion itself will be okay, but it's not margin accretive to the onshore at that point. And that requires first of all ramp-up and it also requires that we get a normal running of offshore, which doesn't come with two single projects.
Q – Martin Wilkie: Great. Thank you. That's helpful. And just another question on, how we think about the profit buildup. You disclosed that you got some of the first advanced manufacturing credits in the US during the year. Obviously, you're building the facilities in Colorado specifically. When we look at the credits that you got in 2023, it works out about $25,000 per megawatt if I've done my math correctly. But obviously we can't tell how much of that was done by third-parties? How much of that was perhaps built in other countries and if we're not getting the credits? When we think about what you're doing to build capacity in the US, should we be thinking that all of these orders that you won obviously a huge amount in the fourth quarter in particular that much more of that will be done in-house at your facilities in the US? And therefore we can see the contribution from those credits relative to the number of megawatts you're building really accelerate over the next couple of years?
Henrik Andersen: I think Martin I will answer in this way. I think the US market onshore seems to be a good market for quite a few of us and I will say a few of us. And therefore some of your detailed question around how MPC, it goes to the OEM in the ratio we do how we build up the capacities. Obviously, we've said we're building our own capacity and we are putting the full utilization of our own factories first. So, that's at least the first assumption. And then what happens as parallel to that, I think I will keep off conversations like this because the US market is important to us like it's important to one or two others. So, I think there the MPC works. We're really pleased to see the guidance is out. And of course, we will take the maximum benefit of it in relation and in partnership with our customers.
Martin Wilkie: Great. Thank you very much.
Operator: The next question comes from the line of Ajay Patel with Vestas [ph]. Please go ahead.
Ajay Patel: Good morning. Thank you very much for the presentation. A couple of questions please. The first one is that clearly volumes are coming in very strongly in the order intake. And I just wanted to understand how much operational leverage there is in the business? As in as we utilize our facilities more aggressively could that lead to better margins? And any sense of how operational leverage works in this context? And then the second one is clearly there's been some announcements about trading -- changing behavior for example Siemens Energy with their pull back onshore. I just wanted to see have you seen any exits from any countries or regions in terms of the competitive landscape? Any insights there would be really helpful. Thanks.
Henrik Andersen: Thank you so much. On the operational leverage, I think it goes without saying it's a no-brainer when you have one shift and four days a week in the US and you basically have almost empty factories. Then from there on there's only operational leverage to come when you start adding shifts and also adding capacity. So, we are very positive over that. I don't think we ever gave there was basically no dilutions of our fixed capacity cost by having the factories at an earlier stage in a year and a half ago. And now of course that operational leverage will start coming back to us. So, that's part of it. I don't think I'll give more because this is very much a capacity now. We brought the capacity down and now we are bringing the capacity back on which we do of course with our partners and the supply chain we work with. Under competitive landscape we have taken orders. We are happy to take the orders we have taken and we are definitely very happy with the ASP we've also seen in Q4. And we are taking them in countries and in markets where we feel we are strong and where customers want to have our solutions then I will avoid commenting on competitive decisions or where they are strong or weaker. I think that goes entirely to their conference and analyst calls.
Ajay Patel: Okay. Thank you very much.
Operator: The next question is from the line of Deepa Venkateswaran with Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you. I had two questions. I think the first one is on your offshore ramp-up. Again one of your competitors seems to be struggling. Could you just give us on what's the latest? We know the prototype is up and running. But could you tell us a bit more near-term what's the plan in 2024 and 2025 on the current ramp-up of the factory in Poland and whatever else so that we understand things are on track for offshore? And second one obviously on the US, it's great news to see all these orders coming in but I'm sure there's also this other looming question about the US elections and deep threat from the Trump campaign to repeal the IRA. So, how are you thinking about that particularly when you're taking decisions to expand, et cetera? How are your customers thinking about it? And might you even see some acceleration of orders in '24, '25, if these risks actually materialize? Thank you.
Henrik Andersen: I think on your first party offshore ramp-up, nothing has changed in our parts. We have seen we have achieved the site certificate on our prototype. We can also see if you follow us on social media, it's generally a regular visited site for partners and people to see how it will work. There is clearly a part that now goes from a prototype to a wind park standing in -- with Baltics and with [indiscernible] that are supposed to be there in '25. So, '24 is ramp-up. So that also means our COO and CTO are in full motions of doing that ramp-up and that so far works to what we have seen. And of course, we are then just planning to see how capacity gets on the back end of that. So Poland is part of adding capacity. That capacity won't be full for this until we are looking into the second part of this decade. When it wasn't intended to be because, we don't see our entry to the offshore market with the project cycle needed to be, until it's back end of '26 and '27. So that's all okay. In terms of the US orders and presidential campaign, it's February. There's long time to go. So, if I today already should have a big input on how we see it. There is a presidential campaign. I think that's the best way of describing it. There will be a winner at some point in time in November and then we see what comes out of that. I think the positive in the US and that's fact. The underlying fundamentals of the IRA is the PTC that was introduced in 1992. That has been extended. It has been changed in various degrees throughout many, many administrations since. But I think the US right now is actually having a very positive effect from the build-out of renewable, I will call it the whole energy suite, because the hydrogen is having a price point and a cost point in the US that is significant different to what we find it in Europe, simply because the electricity prices as a constant are much lower than for instance in Mainland Europe. So, I think there are some positives in the US. And then I will leave it to presidential candidates to find the name of what IRA potentially is before on or after a presidential campaign.
Deepa Venkateswaran: All right. Thank you.
Operator: Another question from the line of Akash Gupta with JPMorgan. Please go ahead.
Akash Gupta: Yes, hi, good morning, and thanks for taking my question. My first one is on R&D investment. And Henrik, I mean if I look at your investments, €500 million is kind of flattish versus 2022 and maybe driven by offshore turbine development. Having said that, the development work is largely behind you and you and the industry has reduced the rate of new turbine introduction. And therefore, when it comes to cash R&D spend, shall we expect it to go back to the previous range of around €400 million in 2024? Or are there any other areas of investments that you can talk about which may lead into kind of flattish R&D investments? So that's the number one to start with.
Henrik Andersen: I think a major part of our R&D of course, you're rightly, so goes into offshore. And of course when a prototype is up it doesn't finish. It's there with the R&D. So that continues because it also comes from prototype into the finished project which is why prototype and testing is so important, Akash. So therefore, quite a lot of work is still ongoing with that and will still be ongoing both in '24 and parallel into '25. You would also have appreciated to see that part of our success around in the onshore market is also because, we are continuing investing into both existing turbines and optimizing existing turbines, but definitely also introducing more suitable turbines to the regime that are being put in place. And if you take the 163-4.5 megawatts in the -- especially in the US, seems to have absolutely a very good traction compared to what customers are putting it in place for us. So, from an R&D point of view, we don't see and foresee a significant change to the current spend in 2024 and 2025. But you are right, at some point in time over the coming years, we will start seeing slightly lower at least from the offshore.
Akash Gupta : Thank you. And my follow-up question is for Hans. So when I look at your large onshore orders there are very few for 2024 deliveries and most of them are beyond 2024 deliveries. Can you comment on how does the phasing of your 1.3 gigawatt unannounced orders split into 2024 and beyond? Thank you.
Hans Martin Smith : I think, you're -- of course, when you look at the long or the bigger orders typically they have a longer duration simply due to the fact that it takes more time oftentimes to say deliver on those types of projects, right. And they typically also have longer delivery durations. So I would say that for, let's say, what we call it, the unannounced orders, the ones that you referred to, of course, when you look at the countries in Europe and other places that they oftentimes would be going to, they would tend to have potentially shorter delivery times than what you might see for the very big ones that go all the way out to I don't know 2026 or 2027 in some cases. I can't speak to the exact duration of that particular portion, but it would probably be fair to assume the logic that you're kind of implying there. That's I'd say a fairly natural thing to think.
Akash Gupta : Thank you.
Operator: The next question is from the line of Claus Almer with Nordea. Please go ahead.
Claus Almer: Thank you. Also a few questions from my side. But first of all, congratulations with a very strong performance in Q4. So, the first question goes to the order intake in 2024, and I know you don't guide on this, but given the outlook for the U.S. and also the improving markets within Europe, should we expect that order intake could even be stronger in 2024 than in 2023 in the onshore space? That would be the first one.
Hans Martin Smith : Claus, first of all, thank you for your congratulations. I think, it feels nice, and I won't shy away from it. It's been a hard time coming. In terms of the order, you know how badly I am to predict that, because I said in by the announcement of our Q3, that we will go to the U.S., and we will go to Australia, and then no orders arise from Australia and everyone now remind me of that there was no order intake from Australia. So I think that that just proves, we shouldn't say much about an order intake. We think we got a good traction. We're working diligently hard on it. And if I look back to my now point of Australia is still in the pipeline. And therefore, it's now about finding that condition around both permitting and pricing and auction level that is now introduced in Australia. So we get the orders through to firm order intake. But just -- a little bit here Claus with a distance to myself saying that's how much we know about the actual timing of how it will unfold. But we don't see a sort of -- from the U.S., we don't see a less activity. But from an order intake, you can't predict exact timing of it. So we work diligently. We are hugely encouraged by what's going on in the U.S., but also in some of the main markets in Europe and not least also Australia.
Claus Almer : Fair enough. The world is qualified in these years. My second question goes to the LPF. If you look at the turbines that were delivered in 2023, does the LPF of these deliveries support your 3% warranty provision goal? Or do you still need to see further quality improvement before getting to the 3% or even below that?
Hans Martin Smith : I think when you deliver a turbine in 2023, then, I mean, a lot of it is actually installed in Q4. So, there's like a lot of operational data, you simply would not necessarily have at hand at this point in time, Claus. I think, what's important to look at is the trend line that we've seen for the LPF that is going in the right direction right now. And as mentioned, when you also then look at the provisions that we have made, they are, of course, also at an elevated level, but they are at least lower than what has been the case over the course of 2023 compared to 2022. So, I think, if again, the best way to look at it right now, or at least one way to look at it would be to say that the LPF for the entire fleet is trending in the right direction when you look at say the aggregated figures. Yes. So there can then be fluctuations. But remember, this is based on the entire fleet of turbines that we have right. So that's how I would look at things right now.
Claus Almer: I know. But it's a blend of many, many things. I'm just trying to figure out the quality going out of the factories let's just say 2022 2023 where you have some data, does the quality and the efficiency of the factory support the 3% warranty provision or should you still...
Hans Martin Smith: Claus of course, the thing is that we continue to have the target to improve the warranty provision. And of course, we would not be thinking that we could improve the warranty provisions, if we did not think that the quality was improving. I think that's kind of how you should think about this.
Claus Almer: Okay. That was all for me. Thanks.
Operator: The next question comes from the line of Supriya Subramanian with UBS. Please go ahead.
Supriya Subramanian: Yes. Morning. Thank you for taking my question. I had two questions as well. One is on the Service business. You've of course guided for €800 million to €880 million of EBIT for next year. Just wanted to see in terms of margins, how do you see this trending into 2024, especially given that in the last two years it's been a bit suboptimal in terms of margin performance. And also, what would be implied margins or what is the assumed margins in the 10% midterm target for the Service business?
Henrik Andersen: Supriya, thank you so much. I think actually you have also seen a little bit, I wouldn't say how difficult it has been, but you can say when we have indicated growth rates and margin over the last couple of years for the Service business, I think it's almost been a reverting quarterly update on either growth rates or margin, which in a business where the size of the business is 1% on the EBIT is €36 million give and take in EBIT. And as you just saw in our Q4, when we now have to provide for bonus the first time that takes the service margin down probably more or less with the percentage that was in difference from Q4 2022. So I think here for us, it is a combination of saying the business is growing. It's growing and it's sustainable and it's really positive. It creates value. And then the margin is that we haven't changed the margin outlook for the business. So when we look at the margin outlook as both a medium and long term, we are working towards a business that should yield 25% in EBIT margin. That then, if you break that down, then you can also see we don't expect to have a 25% EBIT margin in the Service business for 2024. But there is a growth and there is a margin positive in there and that's what we'll be working with. But therefore, it's €800 million to €880 million. And if you take the lower and the upper, you can also see substantially value creating for Vestas and that's what we aim for.
Supriya Subramanian: Okay. Sure. Fair. Thank you. And my second question is just on cost development over the next 12 months. So you of course mentioned that there are certain cost areas which have started to come down like steel, transport costs et cetera. But sort of could you give a better idea of other cost buckets. So how do we see overall costs ending into 2024 be it labor be it maybe logistics component prices et cetera?
Hans Martin Smith: I think there are many moving elements in the cost picture that we are facing because of course, whilst inflation levels are lower than what they were one or two years ago, they are still there. There's perhaps some catch-up on certain things. And again, you're seeing commodities moving also in all kinds of directions. What's really important for us, I would say though is that you have more stability now, that you have a better ability to predict where you're heading. And of course, that allows us to then also have a better costing of what we do, which is really what is important. It's not that we cannot have say movements in cost levels, but it's a predictability that makes a big difference for us. And then yes, you can see things coming up and down. On the commodity side, there has been things coming down but there's also been other things coming up again. Steel depending on where you source it for instance, it can have many different prices. So I think to us, the key thing is more that the highly volatile environment that we were in some years back is now better or more stable and that allows us to work differently. And I would also say better with the way that we do our costing.
Supriya Subramanian: Okay. And maybe just a follow-up to that. Given the volatile environment that we saw in the last two years, in terms of protecting ourselves in the future, do you think there is a higher proportion of let's say, contracts coming with indexation clauses, any sort of subjective thoughts that you could share on how are we protecting our margins for in the future?
Hans Martin Smith: Yes. So there I would say, we started to say will be – I don't know if started we had – of course, it's something that takes some time to implement. But I would rather say that we certainly, structurally changed on that in the last couple of years. And I would say, we have not gotten more relaxed about this now than what we were half a year ago. I think it was a lesson learned for us how things moved. And of course, as a company you learn from that and then you maintain and develop the various types of options and solutions you're working with to try and cover it. We're still not at a point where I would say it's perfect. So I wouldn't sit and claim that at our end. But I would not say either that it's something where given the stability that we are now seeing that we have gotten more relaxed about for instance what we require and what we discuss with our customers in our sales contracts. This is something where you can argue, it's like say a step change or a structural thing that we have done in terms of what we do now compared to what we did perhaps I don't know four years ago.
Supriya Subramanian: Okay. Okay, great. Thank you very much. That’s it from my end.
Operator: The next question is from the line of Sean McLoughlin with HSBC. Please go ahead.
Sean McLoughlin: Thank you. Good morning. A couple of questions from me. So if I've understood it correctly the key components on the more, let's say, the cautious guide around the margin progression in 2025 is around warranty provisions. Could you maybe elaborate on the causes for this? Is it about new problems servicing? Are the problems proving harder and more expensive to fix? Any – I think details around that would be very much appreciated. A second question then just around green steel. And I think it's good to see you leading on this. Maybe just if you could talk through the price gap versus a traditional field turbine and customer willingness ultimately to pay this premium and also how realistic is green steel adoption in the more price-sensitive onshore market? Thank you.
Henrik Andersen: Thanks, Sean. And I would just say here maybe I always try to be sort of a little diplomatic in my first answer and then I try the next one here on the 10% again. We haven't changed it. But as you probably also took a note of, we're just not putting a 1 percentage without a range for 2025, that we will consider when we get to February 2025. And the main parts of getting to 10% is not warranty, because getting from 1.5% to 10% and a warranty provision that is a little in excess of 5% doesn't give you to 10%. So therefore one of the parameters is warranty and one of the parameters that is probably getting a lot of attention is the quality and therefore, the LPF and the warranty levels inside Vestas. But you can see where the biggest is coming from because the biggest in 2023 was not necessarily the warranty level because that was only changing in the basis points, where the biggest point was the change in execution, the mitigation of disturbance we have had and of course the increased pricing and therefore the improvement in commercial backlog. So that's where we are and that's why we are still absolutely comfortable to moving towards the 10% and the double-digit EBIT. But you cannot just put one year at it. That's where we're coming from. On the low emissions steel, you see it when we introduced it. It's only introduced a few weeks ago. And the first customer has already signed up to it. So from an offshore and onshore, it is reasonable to assume that people would include it. And it will also be included. And I think this is the other positive as I mentioned, Sean is that when it comes as auction non-price criteria then of course it's an important part of what government wants to see. Is there a big difference? I mean the price of carbon reduced is not – green steel is not at the same price but it is something that customers generally are willing to engage and discuss. And don't forget, it's over a 30-year time. So customers that really wants to put an effort to it, get it into the business case. And it seems to work for them in the business cases. And that we are positive over.
Sean McLoughlin: Thank you.
Operator: The next question is from the line of Dan Togo Jensen with Carnegie Investment Bank. Please go ahead.
Dan Togo Jensen: Yes. Thank you. Congrats from my side as well. And I'm sorry to keep one with this 10% ahead of target. But just to understand the stepping stone here. If we take the midpoint of the guidance range of 5% here in 2024 and then up to 10%, what are sort of say the major thing that needs to work out well for you here? I mean, price impacts have started to sort of say be through when we talk 5%. Warranty provisions it's 2% you can say, then we missed basically 3%. Can you give us some sort of indication what is the last part here that needs to work out in order to get to the 10%? That would be the first question.
Henrik Andersen: I think Dan, if again there, we don't split it down exactly then the way you do it. I think we got a fantastic evidence point, in just seeing the development over the four quarters here. Because there is some leverage from just the top line between Q1 and Q4. There is some geography as you probably not have. I can hear in your estimate, because the operational leverage we talked with one of your colleagues off a little early on in the sense of that when factories are start being used there is a different operational leverage with the order intake. So that's another one you didn't have in there. So therefore, when you see a net movement between four quarters of 1,300 basis points I'm slightly more optimistic, but I also probably know the backlog better than you do. So the stepping stone between 2023 to, 2024 to 2025 and beyond 2025 is the important step here. But as we just said here, the execution and the backlog and the commercial discipline are absolutely the two main drivers, because reducing warranty with 100 or 150 basis points or even 200 basis points won't crack the 10% as such alone.
Dan Togo Jensen: Right. Understood. And then maybe you could talk a bit about the pricing environment. You talk about this growth rate that looks quite healthy. But are there any push from clients to drive back prices to the original trend before we had the COVID exposure so to say, that efficiencies and technology advances should be pushed down to clients as well so that we will get into a ASP annual decline that followed the track where we were before? How should we think of the pricing environment moving towards 2030?
Henrik Andersen: I think there are, very little appetite in any industry to price your solutions, below your direct cost price. We have just been through 2022, where we lost €1.6 billion mainly from -- net from the turbine environment. So -- and I can see there's not that many in the industry that neither has a positive EBIT or a positive cash flow. So I think probably as an industry, we are encouraged to be a little bit more sustainable and a little bit more disciplined. We seem to have come out of it in a good way, in also a determined and committed way and pretty rapid and that we absolutely have no indications of giving up. And there is no one in Vestas that has any of that as a target either in 2025 or beyond.
Dan Togo Jensen: So you see prices more stable, rather than coming into so to say a declining pace again?
Henrik Andersen: We just demonstrated that in Q4. But we also, as I said, here we also saw a part of our new technology getting traction. So when you have a new technology that works well in the projects we are seeing then of course, we see Vestas having traction. We're seeing a 4.5 megawatt in the US having traction. And we see the offshore turbine having traction. So, that all, adds to the positive.
Dan Togo Jensen: Okay. Thank you.
Henrik Andersen: Thank you.
Operator: The next question comes from the line of Ben Heelan with Bank of America. Please go ahead.
Ben Heelan: Yeah. Morning. Thanks for the question. I just had two. The first one Henrik was on your comments around Europe. Obviously that market has been very, very tough. It seems like there have been some improvements in the last quarters. Can you talk a little bit about kind of fundamentally, like what has changed in that market? Is it the way that these auctions are done? Is it their pricing that's a lot? If you could just kind of elaborate on that a little bit? And then one quickly again on this loss production factor, just what more can you do to bring that loss production factor down? Is it a process issue? Or is it just we have to wait to see how the turbines that you've delivered are performing in the market? Thank you.
Henrik Andersen: Thanks, Ben. I think on the European side, we took out a few countries here and then I think for the right reasons because, always talk about the positive example. What has been done for instance in a country like Germany, they work super structured as a government. They have probably used part of also how they initially both got the permitting of the LNG terminals done in a very short timeframe. And they're running that into also how they now get the permitting done in terms of both the solar and the wind projects in Germany. That demands a constant follow-up from government and the leadership of government. And I think, that commitment which I've listened to now a number of times and I said across from leading people in that government, it's a pleasure to hear, how you basically sit down on a biweekly or monthly basis, you simply just qualify you permit more and you get your regional states to do the same. So I think what we saw in '23 was, suddenly something that was in excess of 3.5 gigawatt, aim is to have a run rate more constantly that was above five gigawatt. I've been one of the critics two years ago and say, I wonder if they ever get to five gigawatt in one year. And I would probably be proven wrong already in '24. So the consequences the good examples are out there and you can see it. And of course from an auction point of view, no one wants to bid in an auction if you don't have a permitted project. So therefore, when you work in those permitting and auctions in parallel, then you actually get somewhere. And as I said, it just for me surprises a little bit that so many EU 27 governments, they're now so resistant to travel to Germany and learn from it. But that's my own little philosophic moment here on the call. So I think that's really positive. And I think of course for us, courage super to see Europe growing and coming back. And they did more in '23 than they did in '22 and also in 2021, but it's just nowhere near their own targets of above 30 gigawatt. Then on the LPF, there's a couple of things in the LPF. First of all, one of them is time. You cannot fix it without having time. Because LPF is about and we talked about it, you need to look at the two graphs which we have in the chart, hence shared with you early on. You both need to see what we are providing and what we are consuming. And we talked for a long point of time and also, is there something we can do to accelerate part of that. Could that bring the LPF down? We are doing part of that. You can also see, we have consumed fairly more in Q4, but that's also part of how to potentially do that trade-off with time LPF and warranty consumed. We haven't had any new major cases. So therefore, it's business as usual and we will share it with you quarter-on-quarter when we go forward. But as I keep reminding everyone, our LPF is the leading and then the warranty provision is in kind of the indicator there.
Ben Heelan: Okay. Very clear. Thank you. And just a very quick follow-up, Henrik, because you would not believe the amount of incoming that we've had around this 10% margin target. My take from your comments today is that the change in wording is more that you don't want to give a technical guide for 2025 as opposed to you're not confident on your ability to achieve the 10% margin. Is that a fair summation of your position?
Henrik Andersen: I mean, come on as a CEO, having a 10% I will be 100% wrong, because I'm pretty sure in 2025 even with Hans' best work throughout the whole year, we cannot hit 10.0%. That will be a range. And I'm not the one sitting here and saying, if we now hit 9.2%, is that failure? I think it's huge upside. If it's 10.5%, hey it's even better, right? But for us to sit here and talk about a 10% flat in '25, that's not great. And that's what we will talk about when we get in February. But we will at least have three quarters this year, where we will talk about the 10% and we will talk about all of that. And you will see the progression throughout '24. But we are still in a world that can change a thousand times before 2025, when we have to give the final guidance. So I have to still give you the disclaimer of saying 30,000 people today enjoy the moment in Vestas, but their eyes are fully towards being back in double-digit earnings and we still see that there is a good way to get to it.
Ben Heelan: Thank you, Henrik. Appreciate it.
Operator: The next question is from the line of de-Bray Gael with Deutsche Bank. Please go ahead. 
Q – Gael de-Bray: Well, thanks very much. Good morning, everybody. I was hoping to dig a little bit more on the margin trend and guidance. So firstly, could you quantify, if you haven't done that already the impact of the development activities on Q4 EBIT, in particular the gain on the sale of the wind portfolio in Italy. Then, secondly, any idea on how you expect the 5% margin at the wind point to progress throughout the year. Does that mean basically, we will be already close to the 10% mark in Q4? And then finally, just comparing your guidance to that of GE. They guided for a high single-digit margin performance in onshore for 2024. So, what's holding you down versus GE? Is this the regional mix, the warranty provisions or something else? Thanks very much.
Hans Martin Smith: That was quite a number of questions, I would say. I'll see, what I can do to answer, at least some of them, the ones that I managed to note down here. I think importantly for 2024, and the way that the year looks like. It's -- we have seasonality in the quarters in hard works. And that also means you can't take a quarter and then just extrapolate that into the next year. It's, as we've been talking to before generally speaking, we are expecting to see if you do things on a trailing basis, to see improvements in the numbers of course part due to the fact that say, we are flushing out some of the projects from the backlog that dates back quite a while. And of course, we are generally seeing that the work we have done on the improved terms and conditions and on the pricing that that channel its way through. But this is a process that takes time. And as such I’ll be careful to not read too much in the Q4 number also for this year for 2023 and that’s how you start the year then next year and similarly when you get through the end of 2024. That you – make that same calculation... [Technical Difficulty]
Operator: Gael can you hear me?
Q – Gael de-Bray: Yes, yes.
Operator: Give me second to reconnect your line. Your line was muted. I will -- we have now rejoined the call. Please go ahead.
Hans Martin Smith: Yes. So I think we were -- I'm not sure exactly where we lost you. But I think, we had covered most of the topics there. We are seeing a back-end loaded 2024 also. And for that same reason of course, you can't necessarily -- I think that was part of the question reach the Q4 2024 margin and then say this is where we start. I think that was basically it
Q – Gael de-Bray: Yes. Sorry perhaps, if I can rephrase, because I actually missed most of what you said, when the line was cut. So, I guess the year being back-end loaded. Yes, I got that. I didn't get your answer on the impact of the gain coming from the sale of the wind portfolio in Italy in Q4. And what did you say about the difference between your margin guidance and that of GE?
Hans Martin Smith: I think on the development part, we are not disclosing the sales prices of these projects specifically. So, that one I'll refrain from commenting too much on. And in terms of the guidance differences, I think it's for individual companies to comment on that as they see it. I think we report differently and I think that I will leave you entirely. We have a power systems and we have a service business that is reported and then you will be able to see that. And we will not comment on EBIT terms on individual markets or for that matter sizes or quarters. So you will see in there and you will see the progress, we have also shared with you in the Power Solution quarter-on-quarter and that gives us the comfort for 2025 -- 2024. Last question please?
Operator: Mr. Gael, have you concluded your question?
Gael de-Bray: Yes. Thanks very much.
Operator: The next question comes from the line of Henry Tarr with Berenberg. Please go ahead.
Henry Tarr: Hi, guys. Thanks for squeezing me in. I'll try and be quick. Two questions. One on the Red Sea impact, I think you mentioned that in your comments at the beginning, potential for longer time duration for some of the supply contracts. Do you have any projection on that? Are you expecting that to have any material impact if it loss on costs or margins? And then the second point, I just wanted to check. I think earlier you said the offshore business in 2025 was not likely to be accretive. Does that mean sort of still near zero margin for 2025 for the offshore and then a pickup, or did I misread that? Thank you.
Henrik Andersen: I think there's a long way from seeing margin not being accretive and then to zero, Henry, if we talk about something that we are approaching in 2025 and beyond of double-digit EBIT. So from margin accretive, it is not margin accretive in 2025, if you have the two first offshore projects. And we are very diligent around that because, of course, that has a load of cost to it as well. So we work and the scale is ramping up in offshore and that works to plan. So therefore, from a margin-accretive plan, of course, it becomes more difficult for offshore to be margin accretive, when the rest of Vestas becomes higher EBIT. So that we will work diligently through. On the Red Sea, we are protected in the best possible way. We're working with the right partners. They are mitigating some of our effects of it. But of course, there will be components where we have to also work closely with customers. I think if anyone have experience in that, it's us. So therefore, the transport and logistics team is very, very much engaged in doing so. So that's the best thing. And so far, it hasn't given major things. But there are, of course, some of the early Q1 and Q2 projects that are having some of the effect of the two times 16 days, so to say, that affects each transport South of Africa.
Henry Tarr: Okay. Great. Thanks.
Henrik Andersen: Good. With that, thank you so much for your attention. I know we're going to meet many of you over the coming days. We look forward to that, and also here, thanks again for your support throughout this and this call. So, see you soon. Thank you.